Operator: Good morning, everyone and welcome to Acorn Energy’s Third Quarter 2015 Earnings Conference Call. [Operator Instructions] After today’s presentation there will be an opportunity to ask questions. [Operator Instructions] Please also note that today’s event is being recorded. At this time, I would like to turn the conference call over to Mr. Michael Barth, CFO of the Company. Sir, please go ahead.
Michael Barth: Thank you. Many of the statements made today in the presentation and our responses to your questions are forward-looking. These statements are subject to various risks and uncertainties. In particular, the performance of our operating companies in 2015 and future years is subject to various risks and uncertainties including, risks associated with meeting performance milestones; political risks associated with conducting business with government customers and risks of possible costs overruns associated with fixed price projects. There is no assurance that Acorn or its operating companies will be able to achieve its goals for growth in 2015 and future years. A complete discussion of the risks and uncertainties which may affect Acorn Energy and the businesses of its operating subsidiaries is included in the Risk Factors in the Company’s Form 10-K filed by the Company with the Securities and Exchange Commission. Please note this event is being recorded. Thank you. John?
John Moore: Thank you for attending Acorn Energy’s Q3 conference call. This is John Moore, CEO of Acorn Energy. Challenging conditions persist in the Energy business. Low commodity prices create substantial headwinds for our business development efforts, because it reduces the capital expenditures of our customers or delays them. Despite this we’ve been able to grow revenue at two of our three business units, and we’ve been building our pipeline of opportunities at all three business units. DSIT growth revenue 12% for the nine months versus the same period in 2014. We also grew gross margins to 35% versus 28% for the comparable nine months in 2014. How they done it? Every 18 months or so, DSIT announced a new largest contract in our history. In 2015, we are completing delivery on two of those major projects. We’ve recently signed off – we’ve recently received sign off, for the successful deployment of our Diver Detection system on a number of offshore oil rigs. The customer has 20 more rigs and this commodity price recover, we’re confident that it will be selected to cover those rigs as well. We have also passed a critical Factory Acceptance test of our largest mobile acoustic range ever for an important customer located in the South China Sea. DSIT continues to build a reputation for engineering excellence in customer satisfaction. So we currently have about $22.5 million of backlog and as you know it’s a very lumpy business, so we’re working on some very large projects, but it’s anybody’s guesses to when those projects will lend or the customer will have the cash flow to be able to fund those projects. So we’re enthusiastic about DSIT, we participated in three major international marine security shows this year. We have another one coming up in Colombia, in the next 30 days. We’ve done numerous field demonstrations that we believe will ultimately result in more orders. Our latest major order was for – our whole month in sonar system, we’ve been bidding on projects for many different navies that need that product. DSIT offers unique value proposition and its combined great quality and high performance in a very affordable price for naval customers, for all trying to stretch their budgets. Our goal for 2016, is to find international defense company to partner with, that can do expand DSITs footprint and accelerate the growth of the company and help us finance the demand, growth in the erratic payment cycles of the customers. Next I’d like to discuss GridSense. As previously mentioned sales in 2014 got a temporary bump from the purchase – from purchases of our PowerMonic power quality analyzer. It was reaching its end of life, customers place their final orders. As a result our 2015 revenue compared to 2014 is plunged about 41%. This drop in revenue mass some very important progress at GridSense. We’re nearing completion of the deployment of our LIQ units aligned health units on over 600 remote controlled motor operated switches in Pennsylvania. The utility using our device to upgrade some of their older equipment, so it can reduce outage times from four hours to four minutes and that’s important because utility is get paid based upon their savvy or safety indexes which indicates how many hours of outages our customers experienced. So it helps their rate case when they go to make those rate cases. So this is a very high profile initialization, then we have several very other large utilities that are seeking to duplicate this very high return on investment application of our product. Many of the communication providers for utility networks, that now built out and stabilize their large deployments at their customers for Smart Meters and they’re starting to recommend our products to help solve customer problems in their distribution networks. One interesting example is Silver Spring Networks, recently brought us [indiscernible] retail mall lost power for 12 hours during a busy weekend shopping day. 32 merchants lost vital revenue, while the utility crews search to find which of the malls 19 transformers had failed. The Silver Spring utility customers now installing TIQs on each of their 19 transformers to prevent this recurrence. That’s just an example of how our tools are being used and being deployed and how people are talking about our products. Some of our larger deployments continue to weigh on our cost base, in order to move projects forward. However, we believe these efforts will pay off as four of our largest utility partners based on project revenue look to expand their projects beyond the current size. Our experience across the wide variety of operating conditions, that means we have creditability with major transformer producers and they’re considering adding transformer monitoring to their factory build systems. There is a race on to lead the market for the intelligent transformer. This is a whole new category of transformers, there is a growing recognition the Smart Meters are not enough to detect power theft which are very common in Third World countries and there is a need for the transformer to be monitored, so you can reconcile between the smart, the meters on the people’s houses and the transformers and the power thieves can be stopped. The major transformer producers have a choice to buy systems from us, our design and build their own systems. And we believe that the years that we have spent protecting our systems in the significant market deal we enjoy to be a tremendous competitive advantage for a partner. We have two separate conversations going on in that regard, and we’re doing an important installation at one of those transformer manufacturers at the end of this month. Lastly OmniMetrix. OmniMetrix has passed 10,000 field installed units, both power generation and pipeline monitoring, this is important because more than two-thirds of OmniMetrix revenues derived from monitoring, which is a high margin and recurring in nature. To put this in perspective we acquired OmniMetrix their 2,500 connections. Why we’re so excited about OmniMetrix and its future, while we pursued many markets in our efforts to grow OmniMetrix, we believe two solid growth opportunities exist. One is the partnership with the consortium focused on emergency communication systems, which we previously discussed and the other is remote monitoring of corrosion protection systems for pipelines. We successfully expanded our retail customer base – our customer based on our retail customer base, sorry – customer base of pipelines, and received following orders from our existing customers. We have a large pipeline of opportunities from both very large investor and utilities as well as municipalities. We believe our product is the best in the industry, and our efforts over the past several months have yield substantial number of opportunities, we expect to harvest in 2016. Lastly, regarding questions you may have about our fund in the business going forward, Mr. Edgar Woolard purchased 10% interest in OmniMetrix at a $5 million pre-money valuation, which highlights the value of our individual businesses versus the $8 million enterprise value of Acorn on public markets. It’s possible that he may make an additional investment in the near future. We’re also seeking investment from strategic partner that leverage the hard-fought gains we have made in creating new markets. Thank you for your time to hear this update. I’ll now take your questions.
Operator: Ladies and gentlemen, at this time we’ll begin the question-and-answer session. [Operator Instructions] And our first question comes from George Deming from Deming Investment. Please go ahead with your question.
John Moore: Hi, good morning, Jed.
George Deming: Hi, good morning, John.
John Moore: Good morning
George Deming: How are you? I think for the best set of the group anyone I’m listening could you just of – go with the cash burn outlook for the next 12 months?
Michael Barth: Well, we’re – unfortunately, it’s expensively a public company and we’ve been working hard to cut costs. We no longer have a very long relationship with our Investor Relations firm. They did a great job for us. We had to cut that all that cost related to that. So the parent company costs around, it’s less than $200,000 a month, but it’s – we’re trying to reduce that cost at all times. And then GridSense and OmniMetrix have got cash requirements. We believe that this is obviously a forward-looking statement discovered by our Safe Harbor statement, but we have plans for GridSense and OmniMetrix to be a breakeven in 2016. We’re obviously near the end of 2015 right now. And DSIT is actually profitable in generating cash. So we’ve got – we believe limited cash requirements. We’re looking to fund the company going forward by finding strategic partners for each of the business. So that our remaining piece of the business will be more valuable because we have large partners whether it’s a transformer company in the case of GridSense or whether it’s a large utility potentially venture capital arm in the case of GridSense or defense company in the case of DSIT. So we’re working on it. We think we’ve got a good plan forward to fund liquidity of the company.
George Deming: Okay. And I appreciate clarifying that for us and others.
John Moore: Thank you, Jed. And yes, we’re constantly looking for ways to cut costs and to get the company to profitability. It’s been a long slog of our investors and obviously the Chapter 7 filing where we’ve shutdown, the U.S. Seismic reduced a substantial part of the burn rates of the company.
George Deming: Great. So, John, [indiscernible] that your operating in has resulted with transpire this past weekend in Paris. Do you think this might actually motivate people to move more quickly and considering some of the service issue you could bring to them?
John Moore: Jed, I am going to – that’s an excellent question and I’m going to pass that to Benny Sela who is on the line.
George Deming: All right, thank you.
Benny Sela: Can you repeat it please, I am not sure I have heard it right?
John Moore: So, Benny, the question he asked was did the attack in Paris have any impact on your customers or any of the discussions that you’re having? And do you think it could improve demand for DSIT’s products?
Benny Sela: Well, we just spoke about it ten minutes ago. First of all, it’s too short to [indiscernible] evaluated, but there’s no question that we by the way performed a successful demo for the French authority a few months, independent of what happened now. And now, we’ve got in touch with the people just talking to them about what happened and we do believe that this might have had a positive impact because the diver detection systems are really, mostly anti-terrorist type of system. And so it’s a bad guy so you shut down different wafers into penetrate, they look for the vulnerable areas and the underwater…
John Moore: So, Jed, we actually have a one European – thank you, thank you Benny. We have one nuclear reactor being monitored right now in Europe using our systems at the water intakes. The water intakes are very vulnerable. And France as you know has 80 nuclear power plants, and 80% of their power is generated through electricity. So, pervious demonstrations were done with the products and the customer interest, here I could – we could get a lucky break there and the French could be an interesting opportunity. So that’s a very astute question.
George Deming: Thank you and as always best of luck and we’re all behind you.
John Moore: Thank you. Thank you for your patience.
George Deming: All right.
Operator: [Operator Instructions] Our next question comes from [indiscernible] from Schultze Asset Management. Please go ahead with your question.
Unidentified Analyst: Hi, John. Would you give us a little more color you mentioned that communications part of OmniMetrix, could you give us a little more color on that?
John Moore: Yes. I’m going to – I have to think about what I can say. But there is a major opportunity that we’ve partnered with the consortium of companies that is working with the U.S. Military to provide redundant communication systems for their bases around the world. And we originally thought that we’d be able to have some sort of an announcement around September 30, the end of the Pentagon’s defense budget that’s – looks like that’s been delayed, anybody that works with the military or the government knows that delays can happen. But we’re optimistic that in the near future that we’ll be announcing the actual first orders related to that, and this is potentially very large project for OmniMetrix, and it’s really been Walter Czarnecki and his personal relationship with the consortium numbers that have, first of all created the opportunity and second of all that we think is going to be driving OmniMetrix. So we’re really enthusiastic about this. But as with many things related to Acorn and the big opportunities we have, we’d rather show you than telling you right now.
Unidentified Analyst: Thank you.
John Moore: Thank you, Schultze.
Operator: [Operator Instructions] And we do have an additional question from Michael Zook from Oppenheimer. Please go ahead with your question.
Michael Zook: Good morning, John.
John Moore: Good morning, Mike.
Michael Zook: Would you address the geographic opportunities for DSIT, I understand that the Chinese are developing quite a large submarine fleet. And then Russian submarine adventures have even approached the East Coast of the United States. Are there particular geographies that DSIT should be addressing and what are the vulnerabilities that we can address to improve the security of various countries whose defenses maybe breached?
John Moore: Well, thank you, Mike. Thank you. First of all, I have to say, good royals.
Michael Zook: Thank you.
John Moore: And Benny, why don’t you – did you understand Mike’s question, and can you address that?
Benny Sela: Yes, we did speak about it in previous calls that the South China Sea becomes a very busy area with many, many submarines and different countries are worried about it. And I think we are well positioned in our portfolio of products. We have different ASW, Anti-Submarine Warfare. Sonar won a big project that we won a few months ago is four Hull-Mounted Sonar, which reflects through the submarines installed in surface ships for one of the Asian countries. We also had what we call fishing, which is a version of this ASW Sonar that is installed in the bottom of the sea [indiscernible] rig to protect and to safe guard the harbor or to monitor the on-shore. And so the answer is yes. Far East Asia, and South China Sea, we have a number of potential customers that we are in touch with continuously. As a matter of fact right now one of our marketing directors is in that area. And this is an addition to the different type of Sonars, which are not again submarine, but whether against terrorists which is also very popular these days. We believe that the AquaShield, or the Shield Family, AquaShield family, where there is more and more interest from different countries to protect critical infrastructure against underwater threats in the form of diverts that’s way more maybe coming on [indiscernible]. Again, the value is now in one of the in-stage countries is coming backward with specific lead for some of the system, DDS Diver Detection Systems Sonar.
Michael Zook: Thank you.
John Moore: Yes, Benny. Yes, so Mike what’s interesting as I said, I mean our – the threats vary by country and by region. So like in Latin America, we find a lot of those navies are interested in things like Helmet and Sonars, and sometimes those are drug dealers are concerned about, sometimes they are neighbor submarines. So somewhere like Latin America that you normally wouldn’t associate with us is a vibrant area of opportunities for us. South China Sea, anybody who is neighbors with Iran or Syria is concerned about the naval threats and other parts of Asia that are percolating. So, yes, there is – as the world becomes more restive, we have more opportunities DSIT.
Michael Zook: Is there an opportunity for the, I guess, protection or detection of threats to offshore oil rigs?
John Moore: Yes. One of our biggest customers has actually installed Diver Detection Systems on about 10% of their fleet and we believe that they’re going to be installing it on – on more.
Michael Zook: What’s the size of those contracts compared with I guess I would call it a Department of Defense type contract? Are they oil rig contracts or they $100,000 or $1 million or – as compared to a large defense contract which will be multi-millions?
John Moore: Benny, I’ll let you to answer that one.
Benny Sela: Yes, at some places in middle, the average price of a – single system is about $1 million for the system and the [indiscernible] and other services and for every rig we need two systems. So it would be between $2 million and $4 million per annum.
Michael Zook: Which has been the price of oil to get a little – go ahead, Benny, I’m sorry
Benny Sela: Usually you have a field upon rigs. So you have a number of goals, so the conducts could grow the numbers of a few millions to a few tens of millions.
Michael Zook: So on a proportional basis than for a normal rig, if an offshore oil rig costs $800 million or $900 million, $1 million to $2 million adjunct equipment initialization from us is really more like an insurance policy and it’s a small capital cost compared to the vulnerability and the capital cost of the rig itself.
Benny Sela: You are just hired to our marketing team, that’s exactly the speech we are marking. Of course, there is a lifecycle cost, but, yes, the point is that for a relatively very small amount of money by important insurance...
Michael Zook: I appreciate the follow-up color, thanks. And…
John Moore: Thank you, Mike.
Michael Zook: Good luck going forward, John.
John Moore: Thank you, sir. I appreciate it. Thanks for your patience and support.
Operator: [Operator Instructions] And ladies and gentlemen, at this time, I’m showing no additional questions. I’d like to turn the conference call back over to management for any closing remarks.
John Moore: Great, I just like to thank everybody for their belief and support. It’s been a rough ride, but we believe that we’ve got a great comeback story and plan and looking forward to executing on it and reporting to you about it in the future. Thank you very much.
Operator: Ladies and gentlemen, that does conclude today’s conference call. We thank you for attending. You may now disconnect your telephone lines.